Operator: Good day, everyone and welcome to Live Ventures Second Quarter 2017 Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note that this call is being recorded. It's now my pleasure to turn the conference over to Chief Financial Officer, Virland Johnson. Please go ahead.
Virland Johnson: Thank you. Good afternoon and welcome to the Live Ventures Incorporated fiscal second quarter 2017 conference call. Earlier today, the company filed its Form 10-Q for the second fiscal quarter ended March 31, 2017 with the SEC. This filing can be found in our Web site www.live-ventures.com in the Investor Relations section as well as on the SEC Web site at www.sec.gov. My name is Virland Johnson, Chief Financial Officer and joining me today is Jon Isaac, Chief Executive Officer and Rodney Spriggs, President of Vintage Stock. Some of the remarks you will hear today may contain forward-looking statements about the company's performance. As well, there may be forward-looking statements made during the Q&A session that follow our prepared remarks. These statements are neither promises nor guarantees and there are number of risks and uncertainties that could cause actual results to differ materially from those set forth in these forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in these forward-looking statements is contained in our filing in periodic reports filed with the SEC. Copies of which are available on our Web site or maybe requested directly from the company. Forward-looking statements are made as of today's date and we do not undertake any obligation to update any forward-looking statements made during today's call. Thank you to everyone joining us today for our second fiscal quarter 2017 call. I would also like to express my appreciation to our management and associates of Live Ventures for another outstanding quarter. During our call today, we will briefly cover our company's operating and financial results for the quarter and then answer your questions at the end of our prepared remarks. Operating results for the second fiscal quarter 2017, the company reported record quarterly revenue of $38.5 million, representing an increase of 94.2% over the same period last year and quarterly earnings per basic share of $0.89, an increase of 207% over last year. Gross profit for the quarter was almost $16.5 million which is up 193.9% for the same period of fiscal 2016. In addition, our operating income was almost $5.3 million compared to the same period last year of $1.2 million, a 339.8% improvement and net income of $1.84 million compared to $1.22 million, a difference of 51.1%. As of March 31, 2017, the company reported approximately $752,000 of cash on hand plus an additional $12.3 million of available credit under the company's revolving lines of credit. Net cash flow provided by operating activities, year-to-date through March 31, 2017 was $5.2 million. Working capital as of March 31, 2017 was approximately $27.8 million. Stockholders equity increased approximately 6.6% to $30.9 million over the prior quarter and 27.8% year-to-date through March 31, 2017. For additional financial information in details I invite you to review our press release distributed this morning and view our 10-K filing on either our Web site or the SEC's Web site. Our focus remains on seeking out the best acquisition opportunities and growing our existing portfolio of companies while minimizing our cost of capital and enhancing shareholder value. With that, I thank you very much for your participation on this call and your continued interest in Live Ventures Incorporated. At this time, Jon, Rodney and I welcome any questions that you may have.
Operator: [Operator Instructions] We'll go first to Laura Engel [Stonegate Capital Partners]. Please go ahead. Your line is open.
Laura Engel: Hi, good afternoon.
Virland Johnson: Hi, Laura.
Laura Engel: Hello, how are you all?
Virland Johnson: Good.
Laura Engel: Good, good. Okay. So, just to start with some housekeeping, based on the pro forma information that had been provided for the latest acquisition, really the one thing that I wanted to ask a little more about with the G&A line item, a little higher than I expected. So, I wondered if there was anything in there, any one-time items or that level that we should expect to see as a combined entity going forward.
Virland Johnson: Are you referring to the quarter or the six months?
Laura Engel: The quarter.
Virland Johnson: The quarter?
Laura Engel: Yes. First quarter with first full three months.
Virland Johnson: There were no large one items in the quarter for G&A this quarter, pretty much and nothing stands out.
Laura Engel: Okay, okay. And then, as far as I know there is no official guidance that anything you can comment on as far as specifics in acquisition pipe or as far as details on -- you've talked before about store openings, expectations for that going forward.
Virland Johnson: We'll have Rodney to talk a little bit about store openings here in a minute.
Laura Engel: Okay.
Virland Johnson: With regards to acquisitions, we do not opine about how [flake] [ph] decisions and so we make them notice to the public at large.
Laura Engel: Okay. The only other question and I'll wait for Rodney to reply as well as just coming on and with respect to some disclosure in the filing about the potential repurposing of the Live deal, is that meaning for the company purposes or potential sale or what exactly [indiscernible].
Virland Johnson: Just the company and we're looking for creating ways to use that software with our Vintage acquisition.
Laura Engel: Oh, cool. Okay, great.
Virland Johnson: Rodney, do you want to talk about openings?
Rodney Spriggs: Yes. It's a start of November when this acquisition took place. We were in the process of opening Hastings locations that we were rebranding to the EntertainMart brand. We did successfully transition seven of those locations and opened a Vintage Stock brand store also, all around thanksgiving. Those stores have come out of the gate fairly decent. We're happy with the numbers, they in the month of March and April, they have as a group on those new stores contributed positively to the bottom-line. So, they are profitable. We also just opened and rebranded another existing Hastings store in St. Joe that opened last Friday. There would be not a part of this reported of course, but that one actually opened in the upper levels comparatively to those other Hastings stores, so it looks like it will be profitable out of the gate from day one. We definitely have other opportunities that are out there based on those other possible locations of Hastings stores that we are familiar with. We have landlords reaching out to us constantly about that. So we are being choosy about the sites that we are looking at. We don't have an exact set number that we would be looking to open, but there are definitely some possibilities where we think that we could be very successful, by putting the Vintage Stock brand or the EntertainMart brand in them.
Laura Engel: Great, great, Rod. So I'm very busy and all good news, so I appreciate your time and I will hop back in the queue and let someone else have your time. Thanks again.
Virland Johnson: Thank you, Laura.
Operator: [Operator Instructions] And we can go next to [Tia McCarthy] [ph]. Please go ahead. Your line is open.
Unidentified Analyst: How was this $7 million in capital expenditures allocated between what businesses?
Virland Johnson: It's almost totally marquee and it has to do with upgrading and adding additional capacity for our carpet and synthetic fiber and turf business.
Unidentified Analyst: And how much more capital expenditures would be required during the end of this fiscal year?
Virland Johnson: You mean how much additional capital investment that we are going to be making? We're not anticipating that much additional equipment at this time. All of the existing equipment has been ordered and it's due for arrival between second and third quarter right now.
Unidentified Analyst: Thank you and good luck.
Operator: [Operator Instructions] And it does appear we have no further questions. I'll return the floor to you speakers for any additional commenting.
Virland Johnson: Do you want to comment, Jon, anything do you want to talk about. Here we go, we've got another one.
Operator: Speakers, we do have one just in queue, we can go to Peter Rodriguez [ph]. Please go ahead, your line is open.
Unidentified Analyst: Hi, my question is about the debt. It seems like the debt level rose a little bit from last quarter. I was wondering if you can talk about that and address that because that's really like my main concern is the level of that for the company and of course the Capitala $30 million loan that you guys took out recently. So, I don't know if you can expand on that and talk about that?
Virland Johnson: I think we can talk about that. This is more of a small expansion in the revolver at Vintage having to do with the stores that are have opened and are continuing to need inventory as well as this preparing for this new store that's going to be opening in Q2. The debt on board for Capitala and that marquee is down relative to the revolver activity, but the additional fixed capital debt is up at marquee relative to the equipment that's going into place with BoA.
Operator: Thank you. And we'll take our next question from [Rio Gilman] [ph]. Please go ahead. Your line is open.
Unidentified Analyst: Thank you. And I appreciate the opportunity. What affect these outstanding losses you're going to have on the ability of the company to keep its focus?
Virland Johnson: It's not going to do distract our focus at all. We feel the lawsuit is without merit and we will defend it vigorously, but we're not going to lose focus at all. The firm who filed the lawsuit is a serial filer. They sue a dozen companies a month or week or I don't know what the -- they are very, very active in this space. To them it's a game. We're seeking legal representation. We have some time to do this, but it's unfortunate that these types of activity exist in our market today. But definitely the lawsuit is without merit whatsoever, it is baseless and we're going to make sure that I guess taking care of it and we're going to seek to dismiss it. And potentially also seek sanctions against these lawyers who are filing these frivolous lawsuits for no good reason or whatsoever on us. So we're going to make sure that this gets handled appropriately.
Unidentified Analyst: All right. Got good reasons, good reasons, they usually collect some money for themselves, very little for the shareholders.
Virland Johnson: I know and it's just unfortunate and just, we have to do what we have to do and just get rid of it as quickly as possible and hopefully the SEC one day will crackdown on this activity that really distracts them and from shareholders and takes away our time. And -- but we're going to -- we've spoken to numerous law firms and we believe with a very high degree of certainty that we're going to get this dismissed. The allegations are there that are in the lawsuit are really meritless and they accuses of things that we didn't even say that other people said. So it's just -- to them it's just a game and we're going to make sure that this gets taken care for the company.
Unidentified Analyst: Thank you. I appreciate it.
Virland Johnson: Thank you for bringing it up.
Operator: [Operator Instructions] Speakers, we have no further questions at this time.
Virland Johnson: All right. Well, thank you for participating and for taking the call and the time today to engage in the conference. We appreciate it. Look forward to next quarter. Thank you.
Operator: Ladies and gentlemen, this will conclude today's program. Thanks for your participation. You may disconnect and have a great day.